Operator: Good morning. My name is Chris and I'll be your Conference Operator today. At this time, I'd like to welcome everyone to the DT Midstream Fourth Quarter 2021 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. If you would like to ask a question during this time, [Operator Instructions]. Thank you. Todd Lohrmann, Director of Investor Relations. You may begin.
Todd Lohrmann: Good morning and welcome, everyone. Before we get started, I would like to remind you to read the safe harbor statement on Page 2 of the presentation, including the reference to forward-looking statements. Our presentation also includes references to non-GAAP financial measures. Please refer to the reconciliation to GAAP contained in the appendix. Joining me this morning are David Slater, President and CEO, and Jeff Jewell, Executive Vice President and CFO. I will now turn it over to David to start the call.
David Slater: Thanks, Todd. Good morning. And thanks everyone for taking the time to join us today. I'll start on Slide 3. We had an excellent year in 2021, which marked our transition to a new independent public company. Looking back on the accomplishments throughout the year, I could not be more proud of the team, and I'd like to thank them for the job they've done. First, we executed the Spin-Off from DTE Energy with a successful debt raise and equity trading debut. We delivered strong financial performance with industry-leading organic growth has exceeded our revised guidance ranges and delivered distinctive total shareholder return for our investors. Our commercial team did a great job advancing our 5-year investment plan. We've added new customers in both our pipeline and gathering segments. Then just before the end of the year, we executed new agreements for the first phase, where Haynesville wellhead to water system expansion. As of today, approximately 50% of our 5-year investment plan has been committed to organic growth opportunities across our asset portfolio. We also continue to advance our best-in-class ESG initiatives, and we're the first company in North America to offer a carbon-neutral pipeline system expansion. We made great progress advancing our carbon capture and storage opportunity in Louisiana and announced a new strategic partnership to advance hydrogen development projects with Mitsubishi. DTM as of the new year is now fully separated and operating independently from DTE under a strong C-Corp governance framework. Let's turn to Slide 4. Moving forward, the company is well positioned for continued success. We expect to maintain our strong financial performance. And are increasing our 2022 adjusted EBITDA guidance, delivering 8% growth from our 2021 original guidance midpoint. Our primary focus is now on '23 and beyond. So we're providing our '23 early outlook for adjusted EBITDA, which reflects continued organic growth and confidence in our core businesses. We are increasing our quarterly dividend by 7%, reflecting our strong financial performance and we plan to continue to grow our dividend in line with cash flows long term. As I mentioned earlier, 50% of our $1.2 million to $1.7 billion 5-year investment plan is committed to organic projects that achieve attractive returns. We remain focused on our disciplined investment criteria and we'll only invest in projects that create shareholder value. Looking forward at our ESG initiatives, we will continue executing on our net zero by 2050 goals. Here is a focus for us include carbon capture and storage, hydrogen, and offering our customers low carbon servers options. Our goal was to integrate all aspects of our ESG initiatives into the everyday operations of the company. Finally, we look forward to publishing our inaugural sustainability report in the second quarter of this year. I will now pass it over to Jeff, who will cover our financial results and guidance.
Jeff Jewell: Thanks, David. Good morning, everyone. I'll start on Slide 5. Our well-positioned assets and strong contracts continue to deliver premium growth. In 2021, adjusted EBITDA was $768 million, which was $58 million higher than the prior year, representing 12% growth versus our 2020 original guidance midpoint. Operating earnings were $336 million in 2021, which was $36 million higher than the prior year. 2021 marks the second year in a row of exceeding guidance for both adjusted EBITDA and operating earnings. Let's turn to Slide 6 to talk more about our 2021 results. Our 2021 growth in both adjusted EBITDA and operating earnings were primarily driven by the performance in our pipeline segment. Which includes the benefit of a full year of LEAP in service and increased earnings from our interstate pipeline joint ventures. In 2021, the Pipeline segment comprised 53% of our business mix. An increase from 49% in 2020. Additionally, strong volumes contributed to our performance in the gathering segment in 2021 with volume growth of approximately 20% throughout the year. Let's now turn to Slide 7 to discuss our updated 2022 guidance. We are increasing both our adjusted EBITDA and operating earnings guidance for 2022. The increased 2022 adjusted EBITDA guidance range is $770 million to $810 million, and the midpoint represents 8% growth over our 2021 original guidance midpoint. Our increased 2022 operating earnings guidance range is $319 million to $335 million, and these guidance ranges includes the impact of a full year of new interest expense and public company costs. Let's turn to Slide 8 to discuss our dividend increase. In addition to delivering strong earnings growth, we're also increasing our quarterly dividend by 7% to $0.64 per share, which equates to an annualized dividend of $2.56. This dividend increase is in line with our financial policy of maintaining at least a 2 times coverage ratio floor and our current coverage ratio stands at approximately 2.4 times. Due to our long-term contracted cash flows, we were able to support a durable dividend and we plan to continue to grow our dividend in line with cash flows long-term. Let's turn to Slide 9 and I'll discuss our 2023 early outlook. As David discussed, given our high confidence in our business and its future growth, we are providing an early outlook for 2023 adjusted EBITDA, which we expect to be between $810 million and $850 million. This outlook is supported by accretive growth coming from organic investment opportunities that are underpinned by long-term contracts in both the Haynesville and Appalachia and across both our pipeline and Gathering segment's. David will provide more detail on these growth investments later in the call. Let's now turn to Slide 10, to talk about our strong cash flow generation. DT Midstream strong cash flow provides multiple pathways to maximize value for our shareholders. We expect distributable cash flow to be between $575 million and $625 million for 2022, which provides significant flexibility in the ways we create value. We believe the most effective way to create value is through highly accretive organic growth investments that align with our core business. We have a substantial set of growth opportunities in front of us, which we will evaluate to ensure they meet our disciplined investment criteria. Another key component of our value creation for shareholders is delivering a reliable and durable dividend that grows in line with cash flows. And the final piece of our value creation plan is ensuring that our balance sheet is well positioned with respect to our investment plans and changing market cycles. Our financial policy for leverage is to maintain a debt to adjusted EBITDA ratio of less than four times, which is enabled by our self-funded growth investment plan and the natural deleveraging that occurs as our adjusted EBITDA grows. I'll now turn it back over to David to provide more details on our growth investments.
David Slater: Thanks, Jeff. Over the course of the past year, we have made significant progress, solidifying our growth investment plan. Our 2022 capital guidance reflects this progress and we expect total capex to be between $350 million and $400 million. With $320 million to $360 million being deployed towards accretive growth projects. Touching on some of our recently executed and upcoming growth investments. In 2021, we placed into service the Vector Blue-water Energy centered lateral. We executed on expansions over Blue Union system in the Haynesville, which included a treating plant expansion in connections with three new customers. In 2022, we are investing in expansion to the surveyors of growing Appalachian production, including the Stonewall Pipeline and the Appalachia Gathering System. In Michigan, we are converting a significant portion of our Gathering system to an intrastate pipeline, which is supported by a 20-year utility contract. Finally, we have executed new agreements to our Phase 1 expansion of our Haynesville and Gathering System, which will result in a multiyear investment to connecting increasing Haynesville supply to growing LNG export demand. Let's turn to Slide 12, and I'll discuss in greater detail our newly announced Haynesville system expansion. The fundamentals around our Haynesville system continue to be strong with expected growth in both production and LNG exports. I'm excited to announce that we have executed agreements with the largest Haynesville producer, Southwestern Energy that will expand the system of over a multiyear timeline. The expansion includes 500 million a day of gathering, 400 million a day of incremental treating, and 300 million a day of additional LEAP capacity that will utilize electric compression. This expansion preserves the option for a certified carbon-neutral wellhead to water pathway for our customer. Second phase of the expansion is an advanced development and we are currently in active discussions with multiple counter parties. We will update you on Phase II as it evolves. Let's turn to Slide 13 now. Looking ahead at our organic growth opportunity set, we're highly confident in our commercial ability to continue advancing projects. In the pipeline segment, we remain highly focused on our Phase II Haynesville expansion and continued commercial discussions with participants in the recent NEXUS open season. On Millennium, we're focused on renewing our anchor shipper contracts. And we recently executed approximately $400 million a day of long-term capacity renewals with these customers. In the Gathering segment, we look to build upon the success we had and continue to grow and add new third party store Blue Union system.  We are also working on new opportunities in Appalachia on our Appalachia Gathering and Haynesville Gathering Systems. Finally, we are very excited about developments in our emerging third platform, which represents accretive energy transition investments. We continue to advance our Louisiana carbon capture and storage project towards the EPA Class VI permanent application filing and continue to work with our strategic partner on evaluating and advancing multiple hydrogen project development opportunities. Let's turn to Slide 14, and I'd like to discuss aspects of our ESG program in more detail. DTM continues to focus on developing an industry leading ESG program. I've already addressed our environmental focus, so I'd like to touch on social and governance dimensions. On the social front, we've established a $4 million community charitable fund. This along with our employee volunteerism program, will enable DTM to be a highly engaged community partner across our entire operational footprint. We believe this is a hallmark of successful companies. Additionally, we implemented a new talent management program that improves the way we attract and retain diverse talent. And we continue to strengthen our safety culture, leveraging industry-leading best practices. On the governance side, DTM is setup with strong C-Corp governance, led by our highly engaged, independent, and diverse forward with a the established ESG subcommittee. Out management team's long -term observant plan is tied to total shareholder return, so our success and our shareholders’ success are firmly linked. Finally, as I mentioned earlier, we will be publishing our inaugural sustainability report in the second quarter of this year. That will provide a complete picture of all of these important elements. Let's now turn to Slide 15, and I'll wrap-up the presentation. In summary, we had a great first year and a firmly on track to deliver accretive growth in 2022 and 2023. We have a focused strategy and a robust set of development opportunities that positions us for distinctive performance over the long-term. And with that, we can now open up the line for questions.
Operator: [Operator Instructions]. Our first question is from Jeremy Tonet with JP Morgan. Your line is open.
Jeremy Tonet: Hi, good morning.
David Slater: Morning, Jeremy.
Jeremy Tonet: Just want to start off with the Haynesville if I could. With all the production growth there, I think there's a focus in the industry on bottlenecks in egress there. And we've seen new projects announced -- potential projects announced here. So I'm just wondering if you could touch on, I guess LEAP. How much expansion capacity could the play path if it fully maximized there with compression or are any looking issues, low-hanging fruit there. And just wondering what's the timeline that could be and how this offering could compare to some of the newer potential project announcements we've seen?
David Slater: Sure, Jeremy. So I think we've mentioned this in the past that we can be expanded up to about 2 [Indiscernible] a day. So which, what we shared here today, there's still a significant runway that we're working on and that's really contemplated in our Phase II expansion work that we're talking to multiple parties about right now. So to extent, when we look at a competitive landscape, I think we have a leg up on many of our competitors in that, our assets are in the ground and the expansion work that needs to be done is a little simpler for us, primarily compression. And that allows us to have a very competitive offering. It allows us to execute quicker. And we've also positioned this asset as carbon neutral. As I mentioned, SWN, is very aligned with their strategic objectives for responsibly source natural gas, and with one of our biggest customers nears our long-term desires for low carbon energy cargos. So we believe we're in a really good competitive position right now in the basin, and our commercial focus is really to bring more customers to our asset footprint there.
Jeremy Tonet: Got it. That's helpful. Thanks for that. And turning to your Phase I Haynesville, wells out to what a project on Slide 12 there. I was just wondering if you could provide any color, I guess on how the commercial environment today concludes to what it was in the past. Are rates, do you expect here similar to what you've signed in the past or is it the marketplace different at this point?
David Slater: Yes. I mean, as you can expect, it's a pretty competitive market environment right now with the number of projects announced. But I would say, generally speaking, the rates that we're realizing are consistent with, kind of, our -- what I'll call our anchor rates for lack of a better word, the original Indigo agreement, but it's competitive. And again, I go back to my earlier comment, is that because we have pipe in the ground and flowing gas into the LNG complex today, we do have the way gap on some of the competitors in that regard that we're already flowing demonstrated service. And again, this carbon-neutral pathway it's being well received in the market. It's a differentiator for us. And we are optimistic that we're going to be able to do another wave here, a Phase II wave.
Jeremy Tonet: Just one last one if I could. It seems like NBP is faced another hurdle here and a lot of questions around the best path forward. As it relates to Appalachia and egress, just wondering to provide thoughts of how high the days, how much -- how that could impact based in production in I guess more specifically, what this means for DTA on the NEXUS as far as what left to expand on the part, how quickly that could materialize.
David Slater: Yeah. That's been a hot topic in Appalachia just over the last couple of weeks here is a run into additional headwinds. I'd say, generally speaking, it feels like that project is delayed at least another year. It'll be -- it continues to keep the basin tight. It's been tight, it will continue to be tight. There is a strong price signal being delivered into the basin to drill and grow production. So the -- some of the favorability that we've seen in our results that we just discussed, came from our interstate pipelines. And I've talked about that in the past that we've been seeing favorability on NEXUS as we've been able to take some of those shorter-term firm contracts and push them out to longer-term and higher rates. We continue to see that playing out in the market and as it continues to tighten up, we're also seeing a lot of interest in our link asset and you could see in Stonewall Pipeline that also serves the Mid Atlantic market. So our Stonewall system connects with Teco system and is a pathway into the mid-Atlantic market. So generally speaking, we're seeing favorability across our portfolio as a result of these construction constraints that the Mountain Valley is dealing with right now.
Jeremy Tonet: Yeah, moving to specifically and that's those serving the different markets. It's -- just give us an update on how the remaining capacity that could be Parana-type for commercial outlook and timeline could be?
David Slater: Well, we continue to work with the parties that participated in the open season and just to remind everybody on the call, there were really two key elements to that open season. One related to generation pipeline, which is the asset that we want to connect directly to NEXUS that serves that greater Toledo market. And the other was expanding the access to supply on our Tennessee interconnect.
David Slater: So we continue to work through the details there with interested parties, and we continue, as I said earlier, to work -- a lot of parties that are looking at taking those shorter-term firm agreements and extending the node. And again, we're just seeing a lot of interest in that and interest at very favorable rates from our perspective. So it's a positive environment right now around NEXUS. And commercially we are just working to capture some of that value and lock it in.
Jeremy Tonet: Got it makes sense. That's been helpful. I'll leave it there. Thanks.
David Slater: Thanks, Jerry.
Operator: The next question is from John Mackay with Goldman Sachs. Your line is open.
John Mackay: Hey, guys, good morning. Thanks for squeezing me in after those. Just wanted to follow up on LEAP, maybe on the expansion. Can you talk about what interest you're seeing for maybe this Phase 2, is it more on the producer side or are you seeing LNG shipper demand coming in as well? And then in the context of both of those, and what will it take to get CCS on this done?
David Slater: Yeah, maybe I'll touch on LEAP first. So we continue to see strong interest to get down to the LNG corridor along the coast. And its broad-based interest. So I'll just leave it at that. Again, it's a competitive environment that we are operating in right now so I don't want to get in to too many details. But strong interest, and it's really driven by the fundamentals, we are seeing strong indications of production growth. I think if you look at the rig counts, it's the -- it is foreshadowing what's going to happen in that base in the next 6 to 12 months. And likewise, what we're hearing around the LNG utilization, an additional LNG growth. So, strong fundamentals on both sides of the assets, so there's lots of interest from lots of different parties. And our job is to just work through that and commercially get through those details. We're in a great spot, we have pipes in the ground systems operating today. We're well interconnected with all the LNG systems on the southern end of our asset footprint. So we believe that we have a competitive advantage here, just a matter of working it through commercially.
John Mackay: And maybe shifting gears. So still looking at the quarter, gathering volumes were up a time, EBITDA was up slightly. Can you just talk about some of the moving pieces here, and how we should think about that going into '22? Is that a NBC thing? Are we seeing competitive pressure on rates? Are there any one-off items? Just really trying to balance that kind of difference in growth rates.
David Slater: Sure. John, I'd say there are two things there to help reconcile that. One is just a reminder that we are carrying some incremental costs that get allocated across the two business segments, so that'd be one. The second item or some of the incremental third-parties that we brought on. They had fairly short hauls on the gathering side of the Haynesville system, and we're primarily focused on the LEAP corridor down to the south. So from a revenue recognition perspective, was probably heavier skewed to the LEAP pipeline side than it was to the Gathering side. So hopefully that helps.
John Mackay: Yes. That one makes sense. Thanks for the time today. I appreciate it.
David Slater: No problem.
Operator: The next question is from Michael Blum with Wells Fargo. Your line is open.
Michael Blum: Thanks. Good morning, everyone. Maybe just to stay on that topic of Haynesville Gathering volumes. As was just mentioned, those were up quite a bit sequentially. Just wanted to get a sense of is that a new level that's sustainable and from various continued to grow or is there anything of that number that would be onetime?
David Slater: Yeah. Good question, Michael. So a lot of what we saw in the fourth quarter was what we described as a full forward of activity from '22. So we'll streaming customers that came on and I was just talking to John about there. They came on earlier than we had planned and our treatment facility also was completed -- originally scheduled to be completed at the end of the year and we were able to pull that forward into the beginning of the fourth quarter. So there is a significant amount of pull forward. So when you look at how the volumes ramps, we had quite a ramp in the fourth quarter related to what I just described. So I would expect that that's that'll be there. That is there today. And we'll be growing from there.
Michael Blum: Great, it helps a lot. And then second question I just wanted to ask was about basically the remaining 50% of the capex, the 1.2 to 1.7 that's not yet committed. What amount of that do you think will ultimately go to energy transition versus your traditional pipeline and Gathering segments?
David Slater: Yeah, so we're really pleased. I over stirred by saying we're really pleased that we've got a line of sight on deploying half of that capital program. We're really in the last 6 to 12 months. So the commercial team's done amazing job capitalizing on what the market's presented to us. I do believe that we will have a portion of that and likely a significant portion of back going towards capital or energy transition programs. And it likely does come later in our plan, just because it's still emerging and it's new. Let say art. A lot of focus right now and I advancing the carbon capture projects in Louisiana forward we're in the land phase right now and phase where we have a lot of discussions going on but stable when we see that as we work through the details to file we successful class 6 wealth permit, which I'm sure as everyone knows, those are very detailed applications. And maybe we'll get closer section because of the nature of the permit sequestration that everyone wants to have confidence in. So we're working hard on that. We're just doing it very diligently, one step at a time with high confidence. So we'll keep the investor base apprised as we approach that application. That will be a key milestone for us on that project.
Michael Blum: Great, thanks so much.
David Slater: You are welcome.
Operator: The next question is from Alex Kania with Wolfe Research, your line is open.
Alex Kania: Thanks. Good morning. Just to -- maybe a couple of questions. First is just on the Haynesville Phase I expansion. Can you give us maybe a little more sense in terms of the timing about how that rolls in maybe in terms of I suppose 2023 and the outlook there and maybe a little bit more just on two of the other variables to keep in mind on '23 or are there things that maybe upsides or risks keep in mind? And maybe the second one is just more broad business. When you talked about working on hydrogen with your partners there, do you kind of see any evolution on trying to integrate that with maybe a broader like hydrogen hub plan that's if the DOE sort of beginning to kick off the process there. And then maybe just a sense in terms of having on that. Thanks.
David Slater: Sure. Well, Alex, I'll start with the Haynesville. I point you to Slide 11 in the deck. We've tried to provide some color on in-service dates around some of the new investments there. And for Phase 1, that's at Q4 '23 in service. So that hopefully, that gives you a sense of timing there but we tried to -- we've laid out a lot of the other projects on that page. Hopefully that's helpful, as you guys work through the details. In terms of hydrogen and our partnership with Mitsubishi, there's just -- the way I would describe it, there's a lot of interest in this right now, particularly for us. We're very focused right now on looking at blue hydrogen opportunities, especially if they can pair up with CCS. It feels very -- it feels more economic, a little easier to handle from a cost perspective for the ultimate consumer. Here are very interesting tax credits that are being proposed for hydrogen. The hydrogen hub process of a play out this year, we're very interested in that and involved in that. And again, I don't really want to get into the details around that just because of the nature of the competitive aspect of those -- of that program. But we're very interested in that and we're very focused on that. And that is front and center our developments matrix for hydrogen.
Alex Kania: Great. Thanks.
David Slater: You're welcome, Alex.
Operator: We have no further questions at this time. I'll turn the call over to Mr. Slater for any closing remarks.
A - David Slater: Well, thank you very much, everybody for joining us today. Certainly appreciate your interest in DTM and appreciate the questions that you had. I'd like to just ask everyone to stay safe and have a great weekend.
Operator: Ladies gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.